Operator: Hello, and welcome to the Veeva Systems' Fiscal 2024 First Quarter Results Conference Call. [Operator Instructions] I will now turn the conference over to Gunnar Hansen, Director of Investor Relations. Please go ahead.
Gunnar Hansen: Good afternoon, and welcome to Veeva's fiscal 2024 first quarter earnings conference call for the quarter ended April 30, 2023. As a reminder, we posted prepared remarks on Veeva's Investor Relations website just after 1:00 p.m. Pacific today. We hope you have had a chance to read them before our call. Today's call will be used primarily for Q&A. With me today for Q&A are Peter Gassner, our Chief Executive Officer; Paul Shawah, EVP, Commercial Strategy; and Brent Bowman, our Chief Financial Officer. During this call, we may make forward-looking statements regarding trends, our strategies and the anticipated performance of the business, including guidance regarding future financial results. These forward-looking statements will be based on our current views and expectations and are subject to various risks and uncertainties. Our actual results may differ materially. Please refer to the risks listed in our earnings release and the risk factors included in our most recent filing on Form 10-K. Forward-looking statements made during this call are being made as of today, May 31, 2023 based on the facts available to us today. If this call is replayed or reviewed after today, the information presented during the call may not contain current or accurate information. Veeva disclaims any obligation to update or revise any forward-looking statements. We may discuss our guidance on today's call, but we will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum. On the call, we may also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release and in the supplemental earnings investor presentation, both of which are available on our website. With that, thank you for joining us, and I'll turn the call over to Peter.
Peter Gassner: Thank you, Gunnar, and welcome, everyone, to the call. We had a great start to the year, delivering results ahead of guidance with total revenue coming in at $526 million. The macroeconomic environment was stable and it was another quarter of strong execution across R&D and Commercial. In Commercial, development of Vault CRM is on track, and we gave a compelling demo at Summit. We expect to have our first customers live on Vault CRM early next year. We also announced two new Compass data products in our first AI application, CRM Bot for Vault TRM. We also saw continued momentum in Development Cloud across all areas. Our product strategies in R&D and Commercial are clear and compelling, and we have a long runway of growth ahead. At this point, we'll open up the call to your questions.
Operator: [Operator Instructions] Your first question comes from the line of Joe Vruwink of Baird. Please go ahead.
Joe Vruwink: Hi, great. hi, everyone. Maybe just to start off, the Commercial Summit a few weeks ago. Curious to hear feedback from customers and partners on what they saw and liked or maybe didn't like out of Vault CRM. And any key messages out of the summit that maybe help inform or change, how you're thinking about introducing the product starting 2024 and into 2025.
Paul Shawah: Hi Joe, this is Paul. Thanks for the question. So Summit was great. We had nearly 2,000 people there. It was a great event. It was our first showcase of Vault CRM. We demoed to a broad audience and generated a lot of excitement. I'd say there was a couple of specific things that our customers were excited about. First is the idea that they're going to get the full functionality of everything we've delivered in Veeva CRM over the past 15 years. All of that plays forward into Vault CRM. So what that means for our customers is they never have to go backwards. They -- everything they've invested in they'll get the advantage of. So full functionality was a really big value prop for our customers. I would say number two is the big announcements that we have. Service Center, which is for inside sales reps and hybrid reps. These are people that need access to the core Veeva CRM functionality, but they also need access to things like handling inbound calls and cases. So they're excited that this is all going to be part of one application, but also CRM Bot, which is super exciting. You saw some of Peter's remarks about generative AI, and this is going to be the first application that we're building. It's going to be part of Vault CRM. So that generated a lot of excitement. And then I guess maybe the third thing was the approach we're taking to helping the industry move to Vault CRM. So same application, same data model, helping customers move their data, their configuration. They're excited about how we're going to help them make the transition. So overall, really positive events, a lot of really positive feedback on our direction in Vault CRM.
Joe Vruwink: Okay. That's all great. Thanks Paul. And then maybe just on the macro. It's been a few quarters now where Veeva has ultimately macro meeting your expectations. I guess, sitting here on the outside the macro and things like biotech funding, it seems pretty dynamic over that same stretch of time. Is the delta here, just maybe Veeva's opportunity? Is it your execution? How do you maybe reconcile kind of those two comments?
Peter Gassner: Yes, I'll take that one. This is Peter. In general, the industry operates on pretty long cycles, especially our very established and large customers. So the ups and downs of the macro environment don't really affect them too much. We do see a little bit more effect in what we call our emerging biotech. These are small customers, generally don't have an approved product. So we see -- when funding gets tight, we see a little bit of pressure there. But nothing that really has changed in the last 90 days at a macro level. So I guess that's why we're not so susceptible to those small ups and downs and business just continues to move forward.
Joe Vruwink: Thank you.
Operator: Thank you. Your next question comes from the line of Ken Wong of Oppenheimer & Company. Please go ahead.
Ken Wong: Hi, fantastic. This first question is for Brent. Just wanted to ask about unbilled AR, saw a big spike up on the cash flow. What drove that? And how should we think about that trajectory? Is it just going to be a tailwind until the balance sheet runs to zero? What's the right mapping on that?
Brent Bowman: Yes. So a couple of things there. On the unbilled AR, I think there was a decline, right? So in that part of what you're seeing there was on the termination for convenience playing through. But on the OCF line, overall, we're really pleased with our strong execution in the quarter. On a full year basis, we've increased the number by $30 million. So we're at $840 million, which is growing about 20%. So I feel really good about the execution and -- for the quarter and for the outlook for the year.
Ken Wong: Got it. So it wasn't any kind of abnormal contract, this was kind of how you expected it to play out with the removal of -- or the inclusion of the TFCs?
Brent Bowman: Absolutely correct. So from a TFC perspective, just put it in complete context, we know what we expect to happen, happened in Q1 and what we expected to happen for the full year is still intact. So no surprises.
Ken Wong: Got it.
Operator: Thank you. Your next question comes from the line of Brian Peterson of Raymond James. Please go ahead.
Brian Peterson: Hi, guys. Thanks for taking the question. Maybe just one for Paul. So Paul, I think there's been some debate on -- at least from investors, on how customized some of the CRM implementations are and how big of a lift it may be to actually migrate over to Vault. Has there been any feedback on that so far? And I also would love to understand there was a comment in the prepared remarks that you expect to have some early customers live at the Summit next year. How is that trending relative to your expectations? Thanks guys.
Paul Shawah: Yes. Brian, thanks for the question. Yes, so the way I would think about it is some companies have adhered pretty close to what Veeva delivers kind of standard in our standard product or have done relatively straightforward configurations and other companies have done more customizations, particularly some of the larger companies. So -- and then there's different ways to make the move to Vault CRM. So one way is to just do in a sense, a technical migration. And then another way is to think about changing process, business process change as they make that transition. So the level of complexity of the move is going to depend on how much customization they've done, but also the approach that they're taking to move over, if they're going to change process or if they're just going to keep things and just do a simple technical migration. So lots of variables going on there. But what we are doing is we're trying to make it as easy as possible for our customers. And we made some really important design decisions to try to make that simple. Keeping the data model the same, keeping the application the same, moving all of their data for them, moving their configuration for customers. So we're automating as much of a move as possible. Now you're right, we did talk about early customers going live potentially as early as our Summit next year. Likely what those will be, will be some net new customers. For example, this quarter, we announced 11 new SMB wins, it would likely be a company like that, that would go live in that first move. And then I would expect migrations to happen starting in 2025. So the first customers who are on Veeva CRM moving over to Vault CRM starting in 2025, with most of those still happening in the 2026 to 2029 frame.
Brian Peterson: Great. Thanks Paul.
Operator: Your next question comes from the line of Rishi Jaluria of RBC Capital Markets. Please go ahead.
Richard Poland: Great. Thanks. This is Rich Poland on for Rishi. So first question would just be on the 2026 to 2029 time frame. Just curious with some of the new functionality that you're adding into the platform like the bots as well as the service center, should we think about that as being something that could help those migrations happen a little bit earlier on that curve? Is that something that's kind of, I guess, specific to the Vault platform?
Paul Shawah: Yes, you're right. Those announcements will be specific to the Vault platform. So will be service center that will be part of the Vault CRM application and also the same with CRM all be part of Vault CRM. So there may or may not be additional incentive for customers to move. But I can tell you that based on the feedback that we've heard from Summit customers are excited about both of them are excited about those opportunities. And that was the promise. The promise was they get the full functionality of Veeva CRM. They get a deep market-leading application and they're going to get new innovation over time.
Richard Poland: Great. Thank you. And then just a follow-up. On some of the -- I know Compass with all of the, I guess, new data personas that have been added there. It seems like you're now kind of ready to take on the incumbents in that space and the messaging has kind of come across that in the past two quarters. So am I thinking about that right? And how should we think about the time line, I guess, for starting to really attack that opportunity?
Peter Gassner: Yes. That's the right way to think about the full suite of data products for the Commercial area and a streamlined, simplified suite of data products. One thing you could compare it to, it's a different domain, but in our quality area, and that's something we've had for many years now, and we introduced QualityDocs, document management system, regulated content management system. We have QMS, which is a structured data quality management system, and we have training. It all fits together on a unified data model on one common platform. That's what we're doing for Compass. So we have patient now, which is the anonymous patient data, 60 billion rows of patient data in the U.S. about prescriptions, procedures, diagnoses. Now what we're adding in January is Compass Prescriber and Compass Sales, and those are projected data products about prescribers' prescribing patterns, the individual prescribers and also at the Zip and State level and the national level. So they all sit together on one common data model. They're separate products, very separate different purposes. So for the first time in January, we'll have this suite of products. And I think that's what customers will find compelling. And then just like we always do, we have to get a customer to have all three of those products, have to get them live using it, have to get them happy, round off the corners, have to get them talking to other customers. And that's one thing about competition. Usually the best product and the best service will win. And when you look at Compass and how we talk to customers there, our message is pretty simple. It's about better data and better service. And so it's just an execution game. I feel very comfortable about our product strategy. It feels so similar to what we've done in some of our Vault suites before, and now it's just down to executing.
Operator: Thank you. Your next question comes from the line of Dylan Becker of William Blair. Please go ahead.
Dylan Becker: Hi, guys. Appreciate for taking the question and really, really nice job here. Maybe, Peter, I wanted to hone in on two comments in the prepared remarks. First, you talked about kind of serving as the AI focal point for the industry. I know you rolled out CRM Bot, but wondering how you're thinking about the long-term optionality there to utilize AI and machine learning models to automate these key processes. Again, you have highly specialized unique data that gives you a holistic view through the Commercial, the clinical and the Compass kind of data sets. So wondering how you're thinking about the evolution of the AI capabilities over time?
Peter Gassner: Yes. We -- I like our position as it relates to AI because we're a core system of record. So that's something you're always going to need. I think that's one thing that people should always understand. Core system of records will be needed even in the world of AI. If I ask Brent, hey, Brent, do you think 10 years from now, you'll need a financial system to manage your financials. He's going to tell me, yes, I really need one, you can't take it away. ChatGPT won't do it for me, right? I'm making a joke there, but our customers have the same critical operational systems around drug safety, around clinical trials, around regulatory, around their quality processes. So those are always going to be needed. Now we are also building our data assets, and these are proprietary data assets, Link, Compass and we're building more data assets. Those will also be not affected by AI, but AI will be able to leverage those assets and make those assets more valuable. So I think we'll develop more -- we'll do basically three things. We'll develop more applications over time. CRM Bot the first. We got to get that right. We also will -- our proprietary data will get more valuable. And the third thing we'll do is make our applications fit very well when customers have their own proprietary AI applications. So especially the Vault platform, we'll do a lot of work in there to make it fit really well with the other AI applications they have from other vendors or that they develop themselves, because it's an open ecosystem, and that's how that's part of being Veeva. We are this broad platform for the customers, and we're an ecosystem in which they can plug in their own intelligence and their own partnerships. So I'm really excited about how AI is going to play out for Veeva. It's very clear what we need to do.
Dylan Becker: That's crystal clear, and I appreciate the color there. Maybe another one, too, and maybe just kind of piggyback off that a little bit. But I think there was a comment around the innovation engine being as strong as ever at Veeva today, too, which is, again, impressive given the historical track record of the business. I wonder, is this a function of the relative kind of maturation of some of these larger opportunities like Compass clinical data, safety, quality, et cetera, that you've been able to maybe scratch the surface on and now dig deeper in with those customers. Maybe how that pairs with the customers that are now increasingly look to you for standardization and maybe opening up their road maps and saying, hey, here's how I want to develop the plan with Veeva? Thank you, guys.
Peter Gassner: Yes, two things. I think the main thing is we're getting very good at being a multiproduct company. We've been working on that for -- we've been in business for, what, 16 years now. We've been a multiproduct company, really, I guess, since 2012-ish, something like that. So more than 10 years now. We have a lot of products. And we're getting good at it in our operating model, how we manage economy, what roles and responsibilities are. And there's a lot of people in Veeva that know that operating model and know how to fit into it. So 6,000 people at Veeva, so we can do more parallel processing. And we just keep doubling down and getting better at being a true great multiproduct company, which is relatively rare here. And then -- so that's, I would say, the macro level. That's what I mean by our innovation engine. For instance, we have people at Veeva now other than me, who are good at overseeing others, who are doing the innovation. So we have that level of scale, and it's relatively rare. Now also, we have deeper customer relationships than we've ever had, and that just really helps, because you get the benefit of the doubt when you have that customer relationship, you get early customers faster, you get more clear feedback. And I would say, the third thing is also when we make an innovation, we're often making an integration to our existing products. So if you look at, for example, our safety product, it's a very good product on its own. But the promise of having it integrated into our clinical products, that's an advantage that another company doesn't have, if they're just starting up a safety product on their own. So long-winded answer there, but it is an insightful question, something I'm very proud of our innovation engine. It's very rare.
Operator: Thank you. Your next question comes from the line of Craig Hettenbach of Morgan Stanley. Please go ahead.
Craig Hettenbach: Yes, thank you. Just following up on the macro commentary, are you able to provide some context just the rough exposure to emerging biotech, given that's kind of a source of debate in terms of funding. And then more broadly, I think last year, you talked about in the SMB space kind of impact to add on just kind of what you're seeing on that front.
Brent Bowman: Sure, Craig. This is Brent. I'll take that. Yes. So as Peter mentioned earlier, we're not -- we don't have a significant exposure to the emerging biotech. And if you think about it in terms of total revenue, it's about 4%. So kind of you can think about that. And that's comprised of about 1,000 employees with no approved product. So that kind of gives you some context of that part of the business. And then your second question, Craig, I want to make sure I get it right?
Craig Hettenbach: Just on SMB more broadly in terms of the macro, just maybe some impact to add on kind of what you've been seeing recently.
Brent Bowman: Yes. So over the last 90 days, we really haven't seen a significant change in the macro. So we -- it continues to be impacted, but we factored that all into the guide, and we're executing well in that area.
Craig Hettenbach: Got it. And then just a quick follow-up for Peter, just on the Sanofi announcement recently. And more broadly, kind of what's resonating in the R&D space and what that means for your target, the multiyear target of a 30% CAGR, how are you feeling about that?
Peter Gassner: Sorry, I didn't catch that question about which announcement.
Craig Hettenbach: The Sanofi announcement?
Peter Gassner: Okay. And that one, I know we do a lot of work with Sanofi. I don't know the specifics of the announcement. Paul, do you -- are you more in...
Paul Shawah: Yes, I think you're I think you're probably referring to the Sanofi quality announcement where they've adopted our quality documentation, quality management suite. Is that...
Craig Hettenbach: Yes.
Paul Shawah: So I think what you're seeing there, first of all, we're excited about quality. It's a significant market. We've introduced a lot of new applications and innovation in there. And this is another good example of that unified quality suite, that value proposition playing through. And I think that's what Sanofi saw. They're trying to streamline and modernize their quality processes, and they're standardizing on bot quality to do that. So super exciting, a good example of another large company kind of in a sense going all in to modernize the quality of manufacturing process.
Operator: Thank you. Your next question comes from the line of Brent Bracelin of Piper Sandler. Please go ahead.
Hannah Rudoff: Hi, guys. This is Hannah Rudoff on for Brent today. Thanks for taking my question. Just first one for you, Paul. I guess are there customers that are waiting for all three of your Compass products to BGA before adopting them as a full suite rather than just adopting one at a time?
Paul Shawah: We have been -- the way we announced and launched this, we focused in on patient data. So we're focused in on customers that can get started relatively quickly, and they're exploring, they're testing our patient data. Most of them are finding that, to Peter's point earlier, it's actually better data. They're getting a broader view into the market. They're finding more patients, they're finding more doctors. So that's the very specific market segment that we've been focused on. We haven't been focused on trying to sell the full suite, because it hasn't been available yet. So I wouldn't say that companies are holding back, because we're not really focused on that part of the market yet. Now given the fact that we're not that far away from having that full set of products, by January of next year, we'll have everything we need to be a full replacement. It will open up a broader part of the market.
Hannah Rudoff: Okay. Makes sense. And then second one for you, Brent. How are you thinking about the monetization of your CRM Bot product and then any future AI products release?
Brent Bowman: Yes, it's really early right now. We're focused on ensuring that we have the right product working with our customers. So that's our focus right now. Let's get the product right, and then we'll get into more of the details on kind of the sizing and the opportunity there. But we're excited overall about the opportunity we have in front of us.
Operator: Thank you. Your next question comes from the line of Ryan MacDonald of Needham. Please go ahead.
Unidentified Analyst: Hi. Thanks for taking my question. This is Matt Shea on for Ryan. I wanted to start with some of the new applications you guys announced around Vault CRM, the service center and the CRM Bot. I know at the service center and you announced it would be free, but the CRM bought, it's not clear if it will be free. So do you plan on monetizing the CRM Bot or some of your other generative AI investments in the future? And as we think about likely additional applications you add around the CRM, do you view this as a lever to potentially increase revenue per account over time or more so as a retention tool as you go through the replatforming on to Vault?
Peter Gassner: Yes, I can take that one. So if we start with Service Center, that's included in Veeva CRM. It will probably result in more CRM licenses over time, because maybe somebody that was a pure inside sales rep, maybe they didn't use Veeva CRM, some type of thing like that. So it's included in the license, but it may mean more users. CRM Bot will -- that's not an included product so that will have a license that will most likely be licensed by the user. So that will be net new. But as Brent mentioned, we're focused on getting the product right and we don't have pricing for that or sizing for that yet.
Unidentified Analyst: Got it. That's helpful. And then with your data assets, Link and Compass, what has been the selling point when competing against some of the other data incumbents? Has service quality and integrations across the broader platform, but enough to displace existing vendors or do you anticipate being competitive on price as well? Just would love to get some of your strategic go-to-market thinking around those data assets.
Peter Gassner: With Link, which we've had for a while, specifically Link key people, that's it's often somewhat of a new category for customers. This is real-time customer intelligence. So either they did it internally or they had a vendor that was sort of substandard in that area. So it's kind of there, we're kind of creating the market and teaching people, here's the value you can get with a data asset like that. And that then is continuing on as we broaden out the Link suite, the Link for key accounts and then we're bringing out for clinical trials and preclinical research sites. So that's more of an education campaign. For Compass, yes, that's a direct replacement where the major incumbent there is IQVIA. And IQVIA has a set of data products, there are quite a few that they've built up over the -- over time. And there, it's more simple, hey, we have a more modern solution, fewer moving parts. They can probably save some money on that. But that -- I don't think that's the primary reason that would go with us. It'd be a more modern product that works for more complex medicines better data and better delivery, but that one is the replacement. Just like originally, when the company started, there was a SebelCRM that was from Oracle that was a dominant market leader in Pharma CRM. And that was a replacement job, replacement parts. Veeva CRM is better. It's cloud, it's better out with Sebel and with Aviva. This is going to be a similar type of thing out, with the IQVIA for that data and with Aviva. No. Make no mistake, that's hard work, right? We have to execute well to make that happen.
Operator: Thank you. Your next question comes from the line of Gabriela Borges of Goldman Sachs. Please go ahead.
Unidentified Analyst: Hi. This is [Kelly Valenti] on for Gabriela. Can you provide some visibility into fiscal year '25 last year? Can you just walk us through under what circumstances that outlook could turn out to be too bullish? Or in what circumstances you would kind of exceed that outlook? And how your visibility into that now -- compares now to last quarter?
Brent Bowman: Yes. So thanks for the question. So looking out at fiscal year '25, we reiterated our guidance. So at least $2.8 billion and at least $1 billion in operating income. And we're expecting that the current macro situation is constant. There's no change. There's no improvement. It doesn't get worse. So that's kind of our assumption as we look out in time. So we're excited about the opportunities. We're early days in a large market opportunity, and that's the best look of the business we have right now.
Unidentified Analyst: And then I want to circle back to the Merck partnership you announced last year. I realize it's still early days with that, but are you seeing any impact to Veeva's business as a result of that partnership either from a product roadmap perspective or any additional product adoption for Merck?
Peter Gassner: I'll take that one. I couldn't comment on specifics of Merck product adoption. I would really say that the partnership is working. We're thrilled with the partnership, I think Merck is getting value from it by a very open relationship with Veeva that's helping to transform their business to be more digital and data driven. We're certainly getting value out of it, because we're learning how to manage a customer with a true, true partnership like that, that starts at the CEO level. So we are rethinking about what's possible. I don't -- it's not shaping our product strategy so much as specifically what we'll do and what products. But I think it is shaping our delivery strategy and how we manage and partnership and partner with customers because it's a whole different selling notion. It's a more -- it's not a selling notion. It's a partnership notion. So I couldn't be more happy with that. To me, it's one of the highlights of our year.
Operator: Thank you. Your next question comes from the line of Jack Wallace of Guggenheim Securities. Please go ahead.
Jack Wallace: Hi. Thanks for taking my questions. I wanted to ask about the competitive environment for the CRM business. It has been six, seven months since the announcement to move to your own platform. What have you seen so far from your larger -- your other competitors, Salesforce and IQVIA? Thank you.
Paul Shawah: Yes, Jack. I can take that. So we still see IQVIA pretty consistently. We also see regional competitors. None of that has changed. We continue to compete with them. We win most of the time. I'm excited about the 11 new wins that we've added in the quarter. So we're continuing to add customers in a pretty tight environment. So I'm excited about our progress, our execution in CRM. With regard you asked about IQVIA, you asked about Salesforce also, I'll give you some commentary on Salesforce. It's been six months since we made that announcement, the partnership, the way we're working together to support joint to support our joint customers is working well. I'm not surprised by that, but I'm pleased that, that's continuing. So we continue to work well together from an operational day-to-day standpoint. I would add the -- maybe the one thing that's changed is Salesforce does have the technically the right to compete with us in the pharma CRM space. We did terminate -- we announced terminating our agreement with them. There's language in the contract, which gives them that right. So I guess, maybe that's a little bit of a difference, but the reality is, I guess, maybe the bigger picture is the space needs pharma CRM. We're the market leader in this space for a reason. We've invested a lot in building a very, very deep industry-specific applications. And I haven't seen any competitor, any company really go down that path. Nobody is there, and nobody is really even close to that. So we continue to focus on customer success, continuing to innovate and really enabling that very deep functionality for the industry. So pleased where the competitive environment is.
Jack Wallace: Thanks. That's helpful. And just as a follow-up to that, the wins in the quarter, particularly the competitive wins for those in North America and Europe or most of those in the Latin America and Asia where you're still muscling out local players?
Paul Shawah: Most of them were in North America. There were a couple in one or two, I believe, in Europe, but the majority were in North America. And these are -- most of them are also companies commercializing for the first time. There were a couple of competitive displacements that we had. So companies that had existing products like IQVIA, and we replaced them. So it's a bit of a mix, but biased more towards the U.S. market.
Operator: Thank you. Your next question comes from the line of Jailendra Singh of Truist Securities. Please go ahead.
Jailendra Singh: Thank you. And Thanks for taking my questions. I want to go back to discussion around macro environment. In your prepared remarks, you called out the funding environment continuing to put pressure on project scrutiny. Can you give a little bit more color there? What kind of projects are being scrutinized? Is it across the board or specific to certain type of solutions? Are you seeing these projects getting like pushed out to a later date or getting canceled? And what does your guidance assume in terms of these projects going through?
Peter Gassner: Yes. Our - so we haven't seen any real changes in the last 90 days. If you compare with two years ago, for example, funding environment is tighter. It's not as easy for small biotech to get funding at the valuations that they want and project screening is tighter. It's not as easy for large companies to justify spending for the future because they're a little more apprehensive about the curve. So -- but none of that has changed in the last 90 days, and it's been included in our guidance. And you asked specifically how does that project scrutiny play out? Honestly, just extra scrutiny. Let's say they're going to -- it doesn't depend on product area. It could be in the quality area, in the CRM area and the safety and the regulatory area, and there's just extra scrutiny. This project is going to be done, how much is the budget for this project. When is the ROI going to happen for our company and just double check that. Now with that project scrutiny, we do -- our projects generally do pretty well on that. What has not done well is companies that focus on more discretionary spend or more just one-off project type of stuff. That doesn't do well, and you'll see a lot of those companies having more issues. But ours are -- our projects are investment in core capabilities that people need for the long term, and those tend to be a little more thoughtful and go through.
Jailendra Singh: Yes, that's really helpful.
Peter Gassner: I'd say, to put a clear point of that experimentation, there's less experimentation going on now than there was two years ago. And that's due to more scrutiny.
Jailendra Singh: Okay. That makes sense. And then a quick follow-up on normalized billings quarterly cadence. Now kind of we can calculate what the growth is for embedded in fiscal Q3 number. Can you remind us on the drivers behind the growth acceleration you expect from what you expect in Q2 fiscal quarter to Q3? And of course, we have talked about Q4, but just curious like if you can remind us on the growth drivers for billings in the second half?
Brent Bowman: Yes, sure. And so yes, so we're providing normalized billings to try to take some of the noise out of the equation for you. So to anchor on a full year basis, we increased our number by $5 million. So that's growth of about 15%. So real pleased with the execution there. Specifically to Q3, what you've seen in some of our newer business, the underlying renewal base has shifted a bit. So it was shifting away from the first half more to the back half, Q3, Q4. So that's part of why you're seeing an acceleration in the billings growth. Also the price increase CPI will start to come into play in Q3 and Q4 as well. So those are a couple of the contributors and why we are confident in the acceleration in the back half of the year.
Operator: Thank you. Your next question comes from the line of Saket Kalia of Barclays. Please go ahead.
Saket Kalia: Okay. Great. Hi, guys. Thanks for taking my questions here. Peter, maybe for you, I was wondering if you could just talk a little bit about the clinical data management business a little bit, and maybe specifically, whether you think some of the displacements, which have been great by the way, for -- I think it was six of the top 20. Whether some of those displacements are adding more value and potentially higher revenue run rates than what customers were paying for before? Does that sort of make sense? Like do you feel like Veeva EDC is kind of replacing what a customer had before kind of one for one? Or do you find that Veeva is able to add more value and maybe comment a little bit more?
Peter Gassner: Yes, I think we're able to add more value because we're modernizing. So if you look in the clinical data management area, one of the core areas of that are our EDC, electronic data capture. We're able to -- customers are able to build their clinical studies faster. So that means getting that clinical studies going faster, and they're being able to do their amendments to studies without downtime, without data unloads. So that means they can work better with their clinical research side. Those are just a couple of the examples. So it's a better system that helps them with their efficiency. In terms of what they pay for it, I think they probably pay us actually a little bit less usually. I mean it depends, right? Our customers are all over the map with the different competitors. But maybe on the average, they pay us a little bit less, but I think their cost is significantly less because they have to put less people -- manpower on it. So we always want to do that. We want to deliver more value at a lower price. We want to innovate and make things better and more efficient. So we want to share some -- in some of that return, but the customer -- the industry gets some of that return. And then if you look at the clinical data area, one point I want to bring up. We have two top 20 customers now that have our clinical data management and our safety product only two, and only one of them is live with both and just recently live both. Now what we'll do here over the next 12 months is develop a highly efficient integration between those systems. Highly efficient and standardized integration at the business process level. The industry hasn't seen that before, because no companies had both of those systems, clinical data management and a drug safety system. That efficiency, the customers are just going to get and it's going to make the industry just much, much more efficient. So that's what we always want to do. Charge less, deliver more and run a real profitable business.
Saket Kalia: Yes, absolutely, it shows. Brent, maybe for my follow-up for you, very helpful answer, by the way, before just on the billings acceleration in the second half. I have a little bit more of a mechanical question, which was just the normalized billings and calculated billings. I think there was a minor difference between the two before. Now we're thinking about them being roughly equal. Just for our own sort of notification, can you just go on a little deeper just into what changed, if anything, around your expectations on billings terms that maybe make both of those now a little bit more similar than what you were thinking before?
Brent Bowman: Yes, happy to, Saket. So first, what are we normalizing? So what we're normalizing is for our remote business, if there's a change in frequency or a co-term. So we have a view entering the year what that's going to look like for the full year. So once we got into Q1, there were a few customers where they had changing billing terms. So basically, those new deals offset what we thought before. So on a full year basis, calculated billings and normalized billings are one and the same. You're going to have differences quarter-to-quarter, but for the full year, it nets out.
Operator: [Operator Instructions] Your next question comes from the line of Stephanie Davis of SVB Securities. Please go ahead.
Stephanie Davis: Hi, guys. Thank you for taking my question. I just want to follow up on the Salesforce questions that you had a little bit earlier. Asked in another way, what has feedback been so far from your client base about the transition off of the platform and into your new in-house platform? Is it apparent on the radar yet?
Paul Shawah: Yes. I mean for -- it is a topic of conversation, certainly with our larger customers, the global customers, companies in the large enterprise, they're focused on this. This is something that they know they're going to have to do at some point and focus on over the next several years. Remember, customers have through 2030, but for some of these large companies, this is a big deal. They have to make sure that they plan and think about this. So we're working very closely with all of our large customers to help them understand the implications, what it means for them, but also the benefits that they get out of this. So I think there's a lot of -- the last six months was about understanding what does this mean and the rationale. And I think the Summit helped with that, having them see it and understand that it's real and understanding that there's a path forward. And that they're ultimately going to get a new level of innovation for them. Now there's certainly going to be work to do to get there. Our customers will have to -- this will be projects for our customers. It's on us to make sure that we minimize the size of that. And certainly, relative to doing some other alternatives that doesn't really exist in the market today. This will be a whole lot easier. So that's how they're thinking about it. They're helping, the last six months was about digesting and understanding and now appreciating some of the innovation we're going to deliver over time.
Stephanie Davis: All right. Helpful. And then just a quick follow-up on billings. You had the $5 million of normalized billings this quarter. Could you kind of parse out the unbilled receivables, takedown benefit, the benefit from some of the new clients that you called out? And how are you bridging that growth rate to the acceleration in the second half to 18%?
Brent Bowman: Yes. So if we kind of maybe just break it down to what happened in Q1. So from a Q1 perspective, we had a nice beat and a portion of that was from more annual billers than we expected. And then part of it was the underlying strength in the business. So we slowed that through. The unbilled AR that you foresee, like that question you asked me had no impact on how we look at the full year normalized billings. So -- but there's not a direct impact there.
Stephanie Davis: Awesome. Thanks folks.
Brent Bowman: Sure.
Operator: Thank you. Your next question comes from the line of Tyler Radke of Citi. Please go ahead.
Tyler Radke: Yes. Thanks for taking the question. I wanted to come back to the Compass suite. It sounds like you're expecting some customers next year at your Summit to be rolled out on that product. Is that going to be kind of net new customers similar to the 1G you referenced in terms of adopting the Vault CRM suite or are you actively engaging in customers who look to be displacing IQVIA and rolling out on the Compass suite?
Peter Gassner: I think it will be a mix. It may be a mix of a particular brand, maybe for our patient product in a large customer, it could be in the top 20. But for a full replacement sort of being IQVIA free, that will come from a small customer, whether they're existing or a brand-new customer, that will come from a company that sort of maybe has one brand, whether just precommercial, that were not quite ready to launch. That will be the pattern, which is very similar to what we see in many of our products, right? Continue for a smaller, more nimble company to just go all in with Veeva.
Tyler Radke: Got it. That's helpful. And then on the R&D side, you talked about a lot of nice wins in EDC and the broader clinical suite. I was wondering if you could just talk about the trends you're seeing in CDMS, and I believe you have had some product and sales leadership departures on the R&D side, but just kind of help us understand how you're adapting to some of the changes and just given CDMS tends to be longer sales cycles, just how customers are thinking about that in the current environment?
Peter Gassner: It's going very well in the clinical data management area. What I mentioned in my prepared remarks is actually not a new deal there so much as the customer that went live in six months, a top 20 customer that went live in six months on our core EDC product. That's kind of for all these studies, that's kind of unheard of. That's super, super fast. That's the thing that many customers generally would do in 12 months, 18 months, even two years. So I think that's going to generate its own kind of momentum, especially we have our R&D Summit coming up in the fall. That customer will be talking there about what they did. So I'm really pleased with that and the competitive environment is actually quite benign. It's not moving. If you look at the competitive environment, it's not moved since we entered it into it. Now that's just with our core our EDC product, you also call that CDMS, but that's a core electronic data capture. We're also starting to make early progress in our other areas, randomization and trial supply management, that's a big area as well. And then the EPRO patient-reported outcomes, that's a big area as well. And there's never been a company that has been a leader in all of those three categories before. I think we're set out to do that over time. And it's just sort of what Veeva does, make an integrated suite of products that's all great. And the fact is in the clinical data management area, there's none that's ever been a company that's accomplished that. So while I'm very excited about our EDC progress, that's just getting started for clinical data management.
Operator: Thank you. Your next question comes from the line of Charles Rhyee of TD Cowen. Please go ahead.
Charles Rhyee: Yes. Thanks for taking the question. Peter, I think you guys mentioned Crossix briefly that it kind of contributed to revenue growth. If I recall, this is one that you've called out in the past talking about the environment being tough, maybe causing some slowing growth in the near term. Can you give us an update here? Has the environment improved at all for Crossix maybe give us a little bit more detail there.
Brent Bowman: Yes, this is Brent. I'll take that question. So overall, we've talked about the macro over the last 90 days hasn't changed, and that's applicable for Crossix as well. It was one of the areas in the back half of last year that had a little bit more of the headwinds of marketing budgets. So it is still in that unchanged state. So it's still a very exciting business for us with a lot -- very, very strategic and meaningful to our customer base. So we're excited about the opportunity, but no change in the macro.
Charles Rhyee: Okay. And then, Brent, maybe just a follow-up. In the guidance, you're implying a step up in the operating margins call it, 34-ish percent. You had these Summits and kickoffs. Can you give us a little bit more sense for the mix in the OpEx line that we should kind of expect? I'd imagine sales and marketing steps up in the second quarter. Maybe just give us a little sense for the cadence, how we should think about sort of the various OpEx lines?
Brent Bowman: Yes. It's going to -- I mean it's going to flow through the course of the year because I think about we have field kickoff in one quarter. We'll have a Commercial Summit, and R&D Summit in a different quarter. So I don't think I would try to over model that, think about that as an incremental step up overall for the year, and it's relatively smooth. Q1 was the field kickoff. That would be one example where it's a little bit larger.
Charles Rhyee: Okay. Perfect. Thank you.
Brent Bowman: Sure. No problem.
Operator: Your next question comes from the line of Stan Berenshteyn of Wells Fargo Securities. Please go ahead.
Stanislav Berenshteyn: Hi. Thanks for taking my questions. Maybe just revisiting the EDC win you announced, I'm just curious, have they provided any feedback as to why they switched away from their legacy DC provider and can you share with us who their legacy EDC vendor was or is, I should say?
Peter Gassner: Yes. In terms of -- I wouldn't mention in general, we're always replacing one of the two main incumbents for large systems. That would be Medidata or Oracle, and we've replaced both of those. And the case for change is really around modernization. It's around modernization, better customer relationship. So modernization would be around a better application, better experience for the clinical research site, faster to go to clinical research study, faster to do a change of a clinical research study. And then also the ability that Veeva has a clinical operations suite as well as a clinical data management suite, and we deliver maintain and update and upgrade that integration between those two things. So we completely take that burden on for the customer. So that's what it is. It's not that complicated. More modern, better service and more integrated because we have the clinical operations suite.
Stanislav Berenshteyn: Okay. And then maybe a quick one on Commercial. Can you give us any updates on Crossix? Are you seeing any changes in the growth rates there? And any updates on global pharma sales rep numbers?
Peter Gassner: In terms of Crossix, I'll take that one and then, Paul, maybe the one sales reps number. Crossix business continues on. It will have its ups and downs quarter-by-quarter because it's related to marketing spend and campaigns, and that can go up and down a little bit. So in that way, it's a little bit more like our Professional Services business. The directions we're taking Crossix is to use it to -- Crossix and our CRM system to integrate them more tightly together going forward. They're integrated now, integrating more tightly, more bidirectionally to help integrate sales and marketing at our customer sites. And that's something they're really excited about. And remember for Crossix, that's the same core data platform that we use to leverage to build as well. So we're committed to Crossix and excited to Crossix and looking forward to converting more of our customers to enterprise license agreements over time, and that will then smooth out some of that up and down in the quarter. And then in terms of the pharmaceutical sales reps, Paul?
Paul Shawah: Yes, I'll give you an update there. Just in terms of the reductions, the majority of the reductions have already played out through the system. And then most of the remaining reductions that we had talked about for a long time will play out through the remainder of this year. And I expect when it's all said and done, it will end up being slightly less than the 10% that we initially had projected and talked about it. We did see very slight reductions in the quarter, roughly in line with what we had anticipated.
Operator: Thank you. Your next question comes from the line of Natalie Hao of Bank of America. Please go ahead.
Unidentified Analyst: Thanks for taking my question. So earlier, you touched a bit on Veeva Quality. And in the press release, you mentioned that QMS won a top 20 pharma. So the Quality segment seems to have a pretty large opportunity. Can you talk a bit more on what has been driving the strength in that category and expand a bit more on how you're really going to capture the opportunity there? Thank you.
Peter Gassner: Yes, Quality is a big area for us. So in that Quality suite, we have QualityDocs, which is the quality documentation management, standard operating procedures, things like that. We have the quality management system. Which is Managing Quality, Managing Deviations, things called CAPA. Then we also have training in there. Then we also announced LIMS, our laboratory information system for manufacturing and our validation product, which is computer systems and other validations. And then also, we have what's called Learn GXT, which is our learning content for quality. So it's a very big area, and that's never been available from one vendor before, all on the unified data model and platform. So that's what we have. It's quite unique. We set out to build that. The early plans of doing that were roughly 10 years ago, and it takes a long time to execute on that. We're very excited. What's fueling the momentum there is customer success. First of all, these systems are not things you change out easily or lightly. Long implementations, and you don't do it unless you need to do it. So each customer has their own time frame when their existing systems are running out of gas. I would say they're not investing much these days in their legacy systems because there's broad awareness that Veeva is probably a better alternative. I do get the feeling now for most customers, they think they probably will be going to Veeva for our core established products, training, quality Docs QMS. The question is when. And then there's a lot of wait and see about our new products, validation and LIMS. Hey, is that product going to be real. I don't want to be first. Let's get that gone. So that's how it is. It's a long, long replacement cycle. When we talk about a long runway for growth ahead, those are the types of things, the seeds we've planted in, things like LIMS where we don't even have our first customer. EPro, where we just have a few customers. Compass, we have nobody on patient and prescriber. Our safety suite, we have more to build out in our safety suite. That's why I say long runway of growth, and there's no magic to it, it's driven by customer success.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back to Peter Gassner for closing remarks. Please go ahead.
Peter Gassner: All right. Thank you, everyone, for joining the call today, and thank you to our customers for your continued partnership and to the Veeva team for really an outstanding work in this quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.